Operator: Ladies and gentlemen, thank you for standing by. Welcome to Axalta Coating Systems Third Quarter 2024 Earnings Call. All participants will be in a listen-only mode. A question-and-answer session will follow the presentation by management. Today's call is being recorded and the replay will be available through November 6th. Those listening after today's call should please note that the information provided in the recording will not be updated and therefore may no longer be current. I will now turn the call over to Colleen Lubic, Vice President of Investor Relations. Please go ahead.
Colleen Lubic: Thank you and good morning. This is Colleen Lubic, Vice President of Investor Relations. We appreciate your continued interest in the Axalta story and welcome you to our Third Quarter 2024 Financial Results Conference call. Today, our Chief Executive Officer Chris Villavarayan and our Chief Financial Officer Carl Anderson will provide a financial review of the third quarter and an update to our 2024 outlook. We released our quarterly financial results this morning and posted a slide presentation to the Investor Relations section of our website at axalta.com, which we will be referencing during this call. Our prepared remarks, the slide presentation, and our discussion today may contain forward-looking statements reflecting the company's current view of future events and their potential effect on Axalta's operating and financial performance. These statements involve uncertainties and risks, and actual results may differ materially from those forward-looking statements. Please note that the company is not obligated to update these forward-looking statements. During the discussion, references may be made to non-GAAP financial measures. Please see the tables and related footnotes in the earnings release for a presentation of the most directly comparable GAAP measures and applicable reconciliations. For additional information regarding forward-looking statements and non-GAAP financial measures, please refer to our filings with the SEC. I will now turn the call over to Chris.
Chris Villavarayan: Thanks, Colleen, and good morning, everyone. Let's move to Slide three. This was an exceptional quarter for Axalta, demonstrating our ability to execute our priorities and control the controllable. I would like to thank our employees who helped drive a company record for third-quarter net sales and adjusted EBITDA. Adjusted EBITDA margins also expanded each quarter this year. In the quarter, net sales increased to $1.32 billion. This represents the 15th consecutive quarter of net sales growth year-over-year. Share gains, mixed management, and contributions from recent acquisitions more than offset a softer macroeconomic environment. Adjusted EBITDA increased by $30 million year-over-year to a third-quarter company record of $291 million. This outstanding result represents the ninth consecutive quarter of adjusted EBITDA growth year-over-year. Adjusted EBITDA margin was 22%, an improvement of 220 basis points from the same period last year. Margin expansion was a result of lower variable costs, contributions from acquisitions, and a reduction in operating expenses due to our transformation actions introduced earlier this year. Growth is a primary objective for the 2026 A Plan. This quarter, we had several achievements that should contribute to achieving our growth target. First, we were excited to begin converting a top-five refinish MSO in North America. This new award was driven by the outstanding technology and efficiency of our product portfolio. In building products, we continue to be awarded business with strategic customers, reinforcing our position as a leader in this space. Finally, we're growing volumes in light vehicle with new wins that are margin-accretive. This growth should be a nice tailwind in the second half of 2025 to help offset expected softening in the industry. We were awarded this new business due to our color technology and our ability to expand capacity to meet our customers' expectations. In terms of innovations that we expect will expand our business, we recently launched Axalta Nimbus and Axalta IRUS Scan. These are great examples of us bringing new and innovative tools to the market. IRUS Scan is an advanced handheld tool that scientifically measures vehicle color for accurate readings. Upon retrieving data from IRUS Scan, Nimbus digitally compares and delivers a highly accurate color formula that ensures a perfect match each and every time. These tools are leading technologies that enable body shops to improve efficiency, enhance productivity, and deliver consistent quality, leading to higher profitability. In building products, we launched Cerulean, an extension of our water-based platform for interior finishes, including cabinets. Water-based coatings for wood substrates have historically had issues with the weight coatings set on the surface. Our technology offers a smoother coatings from a visual and touch perspective. We developed this new product line using our expertise in performance coatings and are pleased that it extends our commitment to developing sustainable solutions. Within mobility, our customer collaboration extends from the early stages of product development to working alongside OEM in their paint shops. We're incredibly excited that great customers like BYD, Daimler, Ford, and General Motors have recognized our efforts and awarded us multiple honors. This speaks to the excellence of our product, quality, service, and customer relationships. This quarter's results demonstrate our resolve to deliver on our commitments and expand profitability with a clear focus on priorities and alignment across the company. Given our better than expected third quarter results, we're confident that our full-year 2024 adjusted EBITDA will exceed $1.1 billion. As such, we're pleased to increase the 2024 full-year outlook for adjusted EBITDA as well as for adjusted diluted EPS and free cash flow, reflecting the underlying strength of the business. Let's move to slide four. The refinish business posted another strong quarter with net sales growing 5% year-over-year. We have achieved 15 quarters of net sales growth year-over-year with a soft macro environment. Year-to-date, we have outperformed the industry by mid-single digits driven by net new body shop wins, M&A, and pricing. As we have shared, we're focused on expanding our position in the premium segment, driving growth in the economy segment, and delivering innovative and efficiency-enhancing solutions to our customers. This year, we have won over 2,100 net new body shops. And with the recent CoverFlexx acquisition, we expanded our position in North America's economy segment. While it is still early in the integration, CoverFlexx results exceeded our expectations in the quarter. We also had another excellent quarter in light vehicle, outpacing bill rates in all four regions. Year-to-date, we have delivered 5% volume growth year-over-year against production rates that declined 2% in the same period. This type of outperformance is not new to Axalta, as our volume growth has outpaced light vehicle bills in nine of the last ten quarters. Our China and LATAM strategy have diversified our customer base and brought accretive business into the portfolio. I'm very proud of the results we have seen in revenue growth and margin expansion. I'm also pleased with the focus we have maintained on a healthy balance between price and cost. By reducing some of the volatility caused by the commodity cycle through raw material indexing, the team has been able to dedicate their time in delivering exceptional products and service. This has enabled us to build and expand excellent customer relationships. Despite the volatility we expect in the auto industry over the next few quarters, our diversified customer base and significant new business wins should help us weather these headwinds. Let's move to slide five. The A plan is the absolute focus. We believe our strategy is achievable as shown so far this year with our financial results. We're well on our way to delivering the plan earlier than anticipated. This is the consistent performance we're aiming to deliver going forward. As we approach the end of the calendar year, I want to thank Axalta's global employees for coalescing around the A Plan and executing flawlessly thus far in 2024. I could not be prouder of this great team, and I look forward to closing out the year strong and preparing for 2025. With that, I'll turn the call over to Carl.
Carl Anderson: Thank you, Chris, and good morning, everyone. Let's turn to slide six. Third quarter net sales increased by approximately 1% year-over-year to $1.32 billion, primarily driven by contributions from our recent acquisitions, which outweighed the macro headwinds in the quarter. Price mix declined 1% in the quarter as positive price actions were offset by anticipated contractual raw material pass-through impacts and an unfavorable mix within refinish. Gross margins were 35% in the quarter, an increase of 270 basis points from prior year. Improvement was supported by 6% lower variable costs and strong cost management. Our procurement team delivered another great quarter with raw materials, energy costs, and freight expenses all lower versus the prior year period. We are benefiting from our continued focus on productivity programs, which are generating excellent returns. Regarding ROCE, we remain well supplied across the commodity base. We view most markets as balanced at this time, with pockets of inflation remaining, but slightly better than expected on softer overall market demand. In the fourth quarter, we are expecting raw material costs to be similar to fourth quarter of 2023 as we begin to lack the deflationary impacts that started late last year. Income from operations increased $30 million in the third quarter compared to the prior year. This improvement was supported by a mid-single digit decline in variable cost unit rates, productivity improvements, and approximately $15 million of consulting and ERP costs that did not repeat from the third quarter of last year. SG&A was roughly flat compared to last year as we continue to actively manage our cost structure. Additionally, the financial impact from the transformation initiative is coming in ahead of plan this year, and we expect to be well on our way to achieve an annualized savings of $75 million in 2026. Adjusted EBITDA in the quarter was $291 million, 12% above last year, marking another record quarter for EBITDA performance. And adjusted diluted earnings per share increased 31% to $0.59, driven by higher overall earnings and lower shares outstanding. Let's move to slide seven. Net sales for performance coatings increased 2% year-over-year to $877 million, largely due to the impact from the recent acquisition. Refinish net sales grew 5% to $554 million, driven by incremental contributions from CoverFlexx and net new body shop wins, offset partially by unfavorable macro trends and mixed headwinds. Industrial net sales declined 1% year-over-year to $323 million, in line with industry trends. While we expect the industry conditions to remain muted through the remainder of this year, we continue to be on track to deliver 300 basis points of margin improvement in 2024, consistent with our prior guide. Performance coatings adjusted EBITDA increased $21 million or 11% year-over-year to $221 million. Adjusted EBITDA margin increased by 200 basis points, primarily driven by lower variable costs, conversion on incremental revenue, and lower operating expenses. Let's move to mobility coatings results on slide eight. Mobility coatings net sales decreased 2% year-over-year to $443 million. Light vehicle net sales were flat in the third quarter versus the third quarter of 2023, despite a 5% decline in build rates. Volumes grew 5%, outpacing auto production growth rates in all regions. As expected, price mix was a low single-digit headwind in the quarter, primarily driven by raw material pass-through impacts and timing of pricing actions when compared to last year. We are encouraged by the volume growth and believe that the team can continue to drive sustained relative outperformance at these levels. In the fourth quarter, we expect favorable price mix results as favorable mix is expected to more than offset headwinds from raw material pass-throughs. Commercial vehicle net sales declined 8%, primarily driven by a drop in Class 8 production in North America and Latin America. This was consistent with industry forecasts and our expectations. Mobility coatings adjusted EBITDA increased by 14% year-over-year to $70 million. Adjusted EBITDA margin expanded by 230 basis points year-over-year to 15.7%, with another quarter of margin expansion in both businesses, primarily driven by lower variable costs and a reduction in operating expenses. Turning to slide nine. We ended the third quarter with over $1.2 billion in total liquidity, inclusive of $567 million in cash on hand. Total net leverage at quarter end was 2.7 times, and we are on track to be at 2.5 times by the end of the year. Total gross leverage at quarter end was 3.2 times, a 0.2 times improvement sequentially, and a 0.7 times lower than the third quarter of 2023, consistent with our strategy to drive our gross debt leverage to a range of 2.5 times to 3 times. In the quarter, we repaid $80 million of the $185 million draw on a revolving credit facility used to finance the purchase of CoverFlexx that was completed in the third quarter. Additionally, we repurchased $50 million of Axalta shares this quarter. Since announcing the $700 million share repurchase program earlier this year, we have repurchased $100 million of shares to-date. Capital expenditures in the third quarter were $33 million, bringing year-to-date CapEx to $78 million. We see many opportunities to deploy capital in our manufacturing facilities to drive productivity and improve efficiencies. We remain committed to spending on high-return projects and investing in the business. Our year-to-date operating cash flow is $342 million, and we have deployed approximately $560 million this year, inclusive of the CoverFlexx acquisition. Our balanced approach to capital allocation and the speed at which we have executed against our priorities is critical to achieve the A Plan target of 15% return on invested capital in 2026. As of this quarter, return on invested capital exceeded 13% on a trailing 12-month basis, which is an increase of 180 basis points compared to full year 2023. Let's turn to slide 12. With another strong quarter completed, we are pleased to increase our fiscal 2024 earnings outlook. Full year 2024 adjusted EBITDA is projected to be approximately $1 billion, $115 million, an increase of $20 million versus the midpoint of our prior guidance, and a 17% increase in adjusted EBITDA year-over-year. Additionally, adjusted diluted earnings per share is now forecasted to be at approximately $2.15, representing a 37% increase compared to last year. Our full year net sales guidance remains unchanged, and we expect net sales to be up approximately $100 million when compared to 2023. As we start to prepare for 2025, we are excited with the progress we have made against the A Plan initiatives. Despite most economic indicators suggesting that the macroeconomic trends will remain soft in the first half of next year, we believe our relative outperformance in refinish and light vehicle will continue, and we expect to remain opportunistic with M&A. Our transformation initiative is off to a great start, and we expect a $30 to $40 million incremental benefit next year. And lastly, any further interest rate reductions will help lower our interest expense next year as nearly 50% of our debt is floating rate. The balance sheet is in great shape, the organization has remained focused, and we believe we have the financial flexibility to deliver value for our shareholders. Fiscal year 2024 is shaping up to be a record year, and we expect to deliver another record year in 2025. Thank you for joining us today. This concludes our prepared remarks. Operator, please open the lines for Q&A.
Operator: [Operator Instructions] Our first question will come from John McNulty with BMO Capital Markets. Please go ahead.
John McNulty: Good morning, and thanks for taking my question. So maybe I can start out on the margin side. So for 2024, you're pretty much already at your long-term 2026 A Plan. And it sounds like you've got some incremental, at least one incremental good guy coming in 2025 around the transformation initiative. So can you speak to some of the other good guys and bad guys as you're looking out to 2025, because it does seem like you're already way ahead of kind of the pace that you were expecting for your longer-term plans?
Chris Villavarayan: Hey, good morning, John. I didn't realize your name got replaced. I hope you're having a good week here. I'll start, and then I'll hand it over to Carl. Yes, I mean, it's great to see that we have come along here and hit our plan for 2026 from a margin perspective at 21% as we look at the full year. Again, as we think about the transformation initiative and where we can go with that, there's also supply chain initiatives that we're driving and operational productivity that we see that can add to that margin. And if you remember when we rolled out the A Plan, we actually had 21% plus as a sign there. So it was to essentially drive the point that we can actually do better than that. But that said, we are quite comfortable with where the margins are as we look at pivoting towards growth. I think, when I came in, one of the things that I talked about was getting back to historical margins, and we certainly are back. And what I would like to make sure that we do is pivot some of that strength that we have in the margin and focus towards the growth going forward. We have about $400 million of growth ahead of us as I think about the A Plan. And the great story there is over the last two years we were able to get $400 million if you look at '23 and '24. So '25, '26, we have the same target I believe we can get there. And we certainly have the foundation to be able to do it with. So that's our focus is, stabilize the margin and then build from there. And I'll turn it over to Carl.
Carl Anderson: Yes, John, the only thing else I would add is I think we believe we're just in the early innings of what we can do from a productivity perspective. So over the next several years, if I look about the amount of CapEx we expect to invest in the business, a big part of that will be really focused on productivity initiatives. So I think while we have some early momentum, it's still early and there's a lot more in front of us over the next several years.
John McNulty: Got it. Okay. No, thanks. That's helpful color. And then I guess just as a second question, you spoke to some new wins in the auto OEM arena. I know auto is kind of a question mark as we look to next year. If we had a flat auto environment based on the wins that you have, how should we be thinking about what your growth is or what the new wins contribute to the top line for you?
Chris Villavarayan: That's a great question. I think, let me define that growth primarily in two regions. One is China and the other one is LATAM. In China, if you look at the last full year, we've been performing about 20% above market as I look at the full year. And as I project that forward, especially with the stimulus, we certainly have upside. But it's primarily the fact that we have launched a lot of these new products and we put a new plant in place. In terms of defining that number, we're not at this point. Another area that we have growth is certainly LATAM with the change of the competitive dynamic there. What's helped us is we've had the opportunity to grow both in light vehicle and commercial vehicle and that's certainly providing a tailwind. There I could probably provide a number that's, let's call it, it's north of 50 million as we think about next year. It'll start ramping up through next year and we'll certainly see most of that in '26.
John McNulty: Got it. Great. Thanks very much for the color.
Operator: Thank you. Our next question will come from David Begleiter with Deutsche Bank. Please go ahead.
David Begleiter: Thank you. Good morning. Chris, I'm going to finish. What were volumes down in the quarter and why were they down in the quarter?
Chris Villavarayan: Well, primarily a couple of things. I think, as you've seen from most of the folks that have reported so far, it's about two or three things. First, if I think about it, there was some consolidation with some distributors that created, let's call it, some destocking in the marketplace as well as I think, if I looked at the last two, three quarters with where the insurance rates are driving, I believe the market essentially impacted us a bit. But all that said, as you know, it feels like it's a one quarter, two quarter issue. And the reason I point that out to that is if you look at our growth and specific to the quarter, CoverFlexx came in and that came in, let's call it, for about 4% or 5%. So that essentially took a lot of the softness that we saw. But if you look at Q1 and Q2, we were actually up 5%, against a similar marketplace where, let's call it, we were down 2% to 3%. So I feel our growth will drive a lot of the dynamics even if you play forward what we're positioning for Q4, we believe the outgrowth will drive, let's call it, that offset of that 2% to 3% softness that we're seeing.
David Begleiter: And on that point, Chris, you mentioned on slide four, body shop wins to be down 2% to 3%. What changes that going forward in '25 or even longer?
Chris Villavarayan: Well, I believe it's a pretty secular market and if you look at the fact that, I would not look at this as a quarter-over-quarter basis. I think you need to look at it as a full-year basis. And you know, I believe with interest rates being as high as they are, folks are essentially holding back on doing repairs. And as well, if I think forward into next year, there's also a feeling of the uncertainty in the marketplace with the consumer. But that will shift if I think more as a full-year basis, number one. Number two, if you knew that this over time was something that we needed to focus on and the CoverFlexx acquisition really enables us to get closer to those folks that are aiming to save some money here and look at repairs in a different perspective outside the insurance framework, let's call it. So I believe the real growth is being driven by our strategy on how we grow.
David Begleiter: Thank you.
Chris Villavarayan: You're welcome.
Operator: Thank you. Our next question will come from Chris Parkinson with Wolfe Research. Please go ahead.
Chris Parkinson: Great. Thank you. So can we talk a little bit more about the IRUS rollout? I know it's kind of very preliminary, especially in Europe, but if we could just hit on that and how that's funneling through into this kind of continuous wind cycle on the refinish side, anything there would be very helpful? Thank you.
Chris Villavarayan: Awesome, Chris. Good morning and thanks for the question. It's been going great. We've launched about 300. Most of them have been in Europe. Our objective is to multiply that by three as we think about next year and get to look to get about 900 out. Let's call it limiting our ability is really our capacity to build the machines and get them out and get the service teams as well as the bottling capacity to be able to support the growth as we see in that. It's actually that piece of equipment that was one of the -- what really helped us win so in this space. It's with the customers that we've launched in Europe, I've had the opportunity to speak to a few of them last quarter and they just absolutely love them. So, I see that as a great, great opportunity to help us with growth in our premium space as well as hold on to the great set of customers we have.
Chris Parkinson: That's very helpful. And the other question I had is there have been across your various end markets, I'd say, fairly dramatic actions on behalf of some asset closures, asset optimization, distribution rationalizations. In terms of your own thought process about servicing your customers, do you feel that you're optimally positioned given the, let's say, the growth outlook for the foreseeable future and defined as still multiple years? Or do you think, there are other actions that management will need to take in the foreseeable future? Thank you.
Chris Villavarayan: That's a pretty good question, Chris. And I think, the one thing that we did, let's call it, with our transformation initiative is we started early, if I think about going through it in 2023. And as I look forward, I believe the best part of our margin story is we've built the foundation to now then pivot towards really supporting the growth and supporting the infrastructure for growth going forward. And what it helps us do with our transformation initiative really then is pivot towards putting more service folks on the ground, pivot towards putting more folks to approach customers, to grow the business, as well as investment in technology, as well as how, to your question, Chris, about how are we going to get the iris mix out there? We can now drive investments towards really driving the service teams to get it out there. And that is one business. That is just the look on just the refinish business. The cool part about this is if I looked at the industrial business, the industrial margins have grown 300 basis points. And our A Plan target was 400 basis points. We just have 100 basis points with two years to go. And the industrial business has certainly earned the right to grow and we can certainly pivot towards that. So I believe that if you think through that process, whether it's putting capacity in place, whether it's launching new products as we talked about with Cerulean. And if you think about interest rates dropping here or the fact that China is also doing stuff to stabilize the residential market and start picking up there, I think over the back half of next year, we really have an opportunity on the industrial business growth because of volumes that we're really not planning for at this point. But there is an opportunity there as well. But certainly we can start investing towards that at this point.
Chris Parkinson: That's very helpful. Thank you so much.
Chris Villavarayan: You're welcome.
Operator: Thank you. Our next question will come from Vincent Andrews with Morgan Stanley. Please go ahead.
Vincent Andrews: Thank you. Good morning, everyone. Just a couple of questions on price. Could you give us a little bit more color on performance coatings? What looks like price mix was flat? Just sort of what was the interplay there between what you got in refinish versus maybe what happened in industrial? And then secondly, it sounds like you're expecting sort of raw materials to flatten out in 4Q and I guess into 2025. So could you just update us on where you are in terms of those pricing contracts you have that are indexed to ROCE? Is there another quarter or so of catch up where we're going to see negative price on those indexes or are you close to that flattening out as well?
Carl Anderson: Yes. Good morning, Vincent. As we look at price mix and refinish, I would say pricing continues to hold up very well for us. I think what you're seeing mostly in the quarter is just some change in mix. Don't forget a year ago we did have the ERP implementation that we were still kind of working through, which had some movements as far as mix when you compare on a year-over-year basis. So I would say refinish pricing is kind of coming in right where we thought. And I would say on price mix for industrial actually was up a little bit as well. So I think there we feel very good with just how we're able to execute in a pretty benign, flattish type of market in industrial. So I think all of that is holding up fairly well. And if I think about the raw material kind of question, as you said, one, we were very, very pleased with the results in the third quarter, seeing our variable cost down 6% year-on-year. If I look at kind of the commodity basket, we continue to see some favorability in isocyanates and monomers, which are kind of some of the drivers of that. We do believe year-on-year is going to flatten out in the fourth quarter. And as we shift into 2025, we're currently planning to see just kind of normal inflation maybe in that 2%, maybe 3% year-on-year. But as Chris said, we do have some continued productivity initiatives that we would expect hopefully to offset some or all of that in 2025.
Chris Villavarayan: Just the last thing to add to that, Vincent, is across all four end markets, we had positive pricing. And I'll turn it back to you on indexing.
Carl Anderson: Yes. The indexing, as you said, you saw in this particular quarter specifically in light vehicle, we were planning for some of that index to kind of come through as we kind of pass that through. I think as we kind of get into next year, we'll provide a little bit more color on that. But I do think what we're really focused on, and you can see it in the overall performance when we're showing mobility margins at 15.7% in the quarter, I think there's a lot of other initiatives that we're driving as well. But overall we're not seeing that to be that significant of a headwind for us next year.
Vincent Andrews: Okay. Thank you very much.
Chris Villavarayan: Thank you. You're welcome.
Operator: Thank you. Our next question will come from Ghansham Panjabi with Baird. Please go ahead.
Matt Krieger: Hey, good morning, everyone. This is Matt Krieger sitting in for Ghansham. So for my first question, we talked a little bit about the share gains in mobility already, but I was hoping that we could get some more detail on what exactly is driving the share wins and better than market growth in both refinish and any added detail on mobility is great. Are these ongoing wins or should we think about lapping these gains into 2025 at any point? And then how have peers been reacting from a competitive standpoint to Axalta taking share in the market?
Chris Villavarayan: So good morning, Matt, and I'll cover this. So I think when I look at the wins, we had a specific, let's call it, opportunity in LATAM with one of the competitors leaving the space. And it created an opportunity for us to come in and serve and add volumes for existing customers, as well as it gave us an opportunity to win new customers in the space, which was exceptional. And if I look at that between commercial vehicle and light vehicle, we've been able to win what I believe by next year, as I said earlier, will be about $50 million to $60 million plus that we see in that business coming in. When I moved to China, in China, as we've said for the last two quarters, the teams have just done an exceptional job being absolutely focused. And it isn't something that this team started, let's call it, this year, they've been doing it for what feels like it is nine quarters in a row. And if I look at it, it's really started with understanding the customers and being very, very focused. And it's really four elements that they have driven. One is the exceptional team. The second one is the service by implementing our capabilities and our teams within our customers' facilities. The third one is delivering quality and making sure that we do everything to allow our OEMs to focus on what they do best, which is build cars. And the fourth element of that is create the barriers of color that is needed in China for that marketplace. And so across those four elements, they've just done an exceptional job executing over there. We also implemented additional capacity between two plants and that's been winning. I don't see that lapping next year. I believe that team is going to continue to win and win and win, because if you look at just the volume from this year, we've been able to grow by 20%. We haven't specified any customers, but as you can see we've made it very clear that on the EV side we're on the top two customers that play in this space. So it's just been great and we continue to win with local OEMs as I think about our growth story for the next year and it's been exceptional. The stimulus is also helping us and my thoughts are it will go through the Chinese New Year. And I don't know what will happen beyond that, but that's also been a tailwind if I think about the start of '25.
Matt Krieger: Got it. That's very helpful. And then just switching over to the margin side of things, can you talk about some of the contributors to margin expansion during the record third quarter versus your original forecast? Was the primary driver incrementally positive price-cost contributions or is this essentially all self-improvement from the businesses?
Carl Anderson: Yes Matt. It's a combination. Obviously the variable cost performance that the purchasing team drove was definitely one of the large drivers of the year-on-year improvement you saw in margins. We also benefit from some of the transformation initiatives. As I mentioned in my prepared remarks, we are coming in a little bit better than we originally anticipated on that line item as well. So I think between the two of those, those are kind of the big drivers for us, which I think was extremely helpful, especially in this type of macro environment.
Chris Villavarayan: The materials teams or our purchasing teams have essentially, if we look at it, performed above market for at least the last six, seven quarters. So that's certainly been a tailwind that's helped us here.
Matt Krieger: Got it. That's helpful. That's it for me. Thanks.
Chris Villavarayan: Thanks, Matt. Thanks.
Operator: Thank you. Our next question will come from Mike Leithead with Barclays. Please go ahead.
Mike Leithead: Yes, thank you. Good morning, guys. I wanted to ask about the 2026 A Plan. It looks like for most of the metrics, you're about halfway to your three-year goals after a good first year here. So other than perhaps sales, do you think most of the A Plan targets are reachable in 2025? And if that's the case, how should investors, at least on a preliminary basis, think about what's beyond the A Plan for Axalta ?
Chris Villavarayan: That's a great question, Mike. As I look at it, that's the main, you would have noticed it in our remarks a few times. One of the things that we're going to focus on is accelerating our A Plan. If you look across the five metrics, where let's call it 25% on sales and on the rest of the metrics, where I would say somewhere between 70% to almost 100% there. So it's a great story. So you can see that we can certainly accelerate it. And specific to the sales line item, my view and confidence there is if I look at the last two years, this company's been able to drive $400 to $500 million of sales growth. So it's pretty straightforward how you can track to that growth in the next two years of 2025 and '26. That said, I believe that with the pace of new wins coming in and maybe with a little bit of favorable market, our goal is to ensure that we accelerate the A Plan over the next bit of time. As we lay out our '25, let's call it, guide in three months from now, you'll get a better picture based on where we think we will go with that. And we'll certainly look at seeing if we need to pull forward the next time we do an investor release of the, let's call it, the A 2029 Plan.
Mike Leithead: Great. That's super helpful. And then maybe just to follow up on capital deployment, how are you guys looking at the relative value between the M&A pipeline and buying back your own shares here at current levels?
Chris Villavarayan: I'll start that up and I'll hand it over to Carl here. But the A Plan essentially had us working on four, let's call it, pillars, which was share buybacks, M&A, investing in our plans that directed towards capital, and then M&A. And at this point, from our perspective, we bought $100 million so far. And if I look at it, at what it came in at, where the current share price is, even at this point, we've certainly created value, so we're quite proud of what we've been able to accomplish there. But obviously M&A and investing in the business certainly is pillars of it, and we will deploy it, I would call it, pretty equally across that. But I'm just going to maybe hand it off to Carl unless I miss something.
Carl Anderson: No, I think the word is balance as we think about how we're going to continue to deploy capital, not only to M&A, as well as share repurchases. Those would be kind of the two primary things that we'll be focused on. But candidly, I think there's a little bit more on growth step reduction as well that we're going to be focused on, especially here in the near term.
Mike Leithead: Great, thank you.
Operator: Thank you. Our next question will come from Aleksey Yefremov with KeyBanc Capital Markets. Please go ahead.
Chris Villavarayan: Good morning, Aleksey.
Aleksey Yefremov: Good morning, everyone. Good morning, Chris. I wanted to ask about just the more recent trends in the body shop activity. Is it stable, improving or softening in the recent months?
Chris Villavarayan: I would call it stable to softening. So it depends on the region. Aleksey, I would call China is a bit soft. I would call Europe being stable. I would call North America soft a bit. And then I'd call LATAM being strong. So I hope that's a bit helpful. In terms of body shop activity, I want to see how the next year works through. But at this time, as we've already finished a month and we're giving a Q4 guide and giving a full year perspective here, we're quite comfortable with where the volumes are.
Aleksey Yefremov: Okay, makes sense. And given your strategy of pursuing the economy refinish market, what have you observed this year in terms of differences in economy or premium? Has the pressure been about the same on the market or did one do better than the other?
Chris Villavarayan: I think, let's just start with the economy segment. So the economy, our approach into this was with CoverFlexx. And don't forget, we just started that just over a quarter ago. And if I was just to talk to the deal itself, it's ahead of plan, as we call it. I would call it revenue right on plan. But let's call it margin and performance on the bottom line is ahead of plan. So, again, start deal dynamics. It's in great shape. So, I think that's certainly to the last question that Mike asked, if I think about M&A between André Koch and CoverFlexx that we did this year, we're certainly seeing a recent competency on our ability to execute. So we will continue to look at, let's call it bolt-on acquisitions to get us more into adjacencies and to the economy space if I think about the first half or the first half to the full year next year. Because that business from the one quarter that we've looked at, Aleksey, seems somewhat stable as we go through with our just one quarter's view. The premium segment, obviously the current dynamic makes it quite competitive. The marketplace is competitive. However, as I announced, we have certainly won a new MSO here in this space. And I believe here the difference is, Axalta being the leader in the premium segment, we've certainly earned our right to be here and play here in the service level. The IRUS ecosystem, the 160 years of experience, all of that builds to the strength of the company that we have here. So, as I look at losses here, we've still been able to win 2,100 net body shops. If I look at the full year, I believe we'll get up to that 2,500 body shops. If I look at a 10-year look, sorry, a four-year look, we have 10,000 body shops that we've won. So at this point, even though the marketplace is competitive, we continue to win. So feel quite confident here.
Aleksey Yefremov: Thanks, Chris.
Chris Villavarayan: You're welcome, Aleksey.
Operator: Thank you. Our next question will come from Steve Byrne with Bank of America. Please go ahead.
Steve Byrne: Thank you. I'm sure you're aware your valuation multiple as compared to your peers is significantly different depending on whether you're looking at a PE multiple or an EBITDA multiple with that Delta driven largely by your interest expense and your tax rate. And Carl, you made a comment about 50% of your debt is floating. Do you have a view on where interest expense could be for 2025 and any plans to structurally change your tax expense?
Carl Anderson: Yes, Steve, as I look out in front of 2025, we're still finalizing the plans already. Some of it will be subject to what happens with the Fed and how many rate moves there are. But I would say it's fair to say that you should -- we will definitely be sub $200 million of interest expense. As we kind of get next year, I think we're -- could it be in that 190 range or even a little bit below most likely as we think about where interest expense should go. So we'll be very proactive as we kind of manage the debt maturity profile as well. So I'm feeling better and better about where we are from a leverage perspective. You can see, and even if I look out next year, we're tracking to be probably closer to the lower end of our leverage target range as well. So I think you'll see a little bit of tailwind just from interest expense, Steve, as we think about next year. And then from the tax rate perspective, obviously agree, I think we have a lot of initiatives that we're beginning to work on where we're trying to determine how we can continue to drive that down lower. At the end, it's all of that feeds into EPS, as you know. I think this year being up 37% year-over-year, we're off to a great start. But I also think there is a lot more we can be doing in those two items next year.
Chris Villavarayan: And Steve, maybe just to add on that, if I think about the multiple story, I think part of it is the consistency of execution. I believe Axalta has what has been viewed as Goldilocks that needs to be too hot or needs to be too cold or needs to be cold. I think that the difference is that has changed. We're holding ourselves to a higher standard here. And that's certainly demonstrated through the past three, four quarters where we've eaten waste all the last three times. So my hope is through the focus on execution and the growth that you should see through the next few quarters that will be achieved through eliminating our A Plan that we get there, the confidence that we need here.
Steve Byrne: Very good. And maybe one follow-up on SG&A on an absolute dollar value flat year-over-year. One would think that incentive comp would be up just simply from your earnings growth. What are you doing there? Is that headcount reduction that's enabling you to keep SG&A flat?
Carl Anderson: Yes, I think it's a combination of headcount reduction that we've been talking to the last couple of quarters. But then I think even on a year-over-year basis, purely on incentive comp, it's pretty flat on a year-over-year basis. So it's really not kind of, you're not seeing that incremental expense come through in 2024. So overall, I think this will continue to be a focus for us as we are managing the business here, especially here in the near term, as we think about where markets are. But to date, we've done, I think a pretty decent job in managing just not only SG&A, but all of the cost structures this year.
Steve Byrne: Pretty good. Thank you.
Carl Anderson: Thank you.
Chris Villavarayan: Welcome.
Operator: Thank you, our next question will come from Kevin McCarthy with Vertical Research Partners. Please go ahead.
Kevin McCarthy: Thank you and good morning. Chris, it sounds like you have a lot of positive fundamental momentum in the marketplace today. And yet, if we look at your fourth quarter guidance, it seems to imply a little bit more sequential deceleration into year end than has been evident over the last couple of years. So can you speak to kind of your working view of seasonality and maybe other puts and takes that would impact the near term profile and how conservative do you think you're being in setting forth that quarterly guide?
Chris Villavarayan: Hey, Kevin, good morning. I think if you look at the Q4, Q4 comp, obviously commercial vehicle is down from where it was a year ago. That's about 25% from what we saw on the CV side in North America where Class 8 is. The second element of this is obvious with the seasonality that we normally see in light vehicle and ROE business that trends down at this period and also the Christmas shutdowns that we see. So a lot of that is driven by that dynamic. The good thing about it is if you look through that, even with that dynamic where I think doing a good job in maintaining margins, is there an upside? We're just being cautious here and being careful in watching the market as we go through just to make sure it's certainly something that there's a lot of dynamics that we have to watch here. Obviously, in North America, we have the elections. If I think about the global crisis, whether it's in terms of what's happening in Israel or what's happening in Ukraine. And so there's a little bit of uncertainty that we have to watch. So we want to also manage our volumes or our view of market. That's how we've done it to this point. We've assumed that even with markets, wherever they would be that we make sure that we drive to hit our performance in terms of a margin perspective. And that's clearly our focus here. But yes, so I think that's what we're doing. The cool part about this, again, is if you know that the CV margins in the mobility business is quite strong. And even with that, again, as I pointed out, the Q4 margins for mobility should tell you the stability that the business has built into making sure that we watch the bottom half of the P&L.
Kevin McCarthy: Yes, fair enough. I appreciate that. Secondly, if I may, just to follow up on the margin discussion and specifically the margin opportunity and mobility, maybe you're tracking to an EBITDA margin of, I don't know, 15% this year in mobility, plus or minus. And as good as that level is versus recent history, there's precedent for segment margins being 400 or 500 basis points better than that if we go all the way back to the 2015, the '17 timeframe. So one question would be, if the cycle cooperated in terms of global auto production levels, do you think there's upside to the high teens over the next several years? Or have things changed in the structure of the business whereby that would be kind of an unrealistic stretch goal?
Carl Anderson: Well, I think in terms of 400 basis points, that would be a little bit, I think there was Venezuela and there was elements of that in South America and there was parts of the business that were structured differently if we go back almost 10 years ago. But is there upside in the margin profile? I would certainly say we should see some more upside going forward into next year. The new business that we are winning is margin-accretive to the overall portfolio. So my expectation is that the business will continue to see some upside in margin as long as markets support that going forward. The other element of this -- is the key element of this is if you think about the commercial vehicle pre-buy for the '27 emissions change, that would mean in '26 and probably the back half of '25, you should see that volume pick back up again. And so if you know where we are and you assume a '26 at this point is being projected at 350,000 trucks, that should give us a good tailwind as I look about where margins could go into 2025, the back end of '25 and certainly into '26.
Kevin McCarthy: Very helpful. Thank you.
Chris Villavarayan: You're welcome.
Operator: Thank you. Our next question will come from John Roberts with the Mizuho. Please go ahead.
John Roberts: Thank you, I think Volkswagen is a meaningful customer for your mobility segment. How are you thinking about their recent curtailment announcements?
Chris Villavarayan: Yes, I think as all of us are, we're looking at footprint as, even if you look at our transformation initiative, we've looked at -- we're downsizing our own footprint by two facilities. So I can understand what Volkswagen is doing. And obviously with the cost structures that we all face, these are the things that we have to do. But in terms of a customer, the volumes are the volumes. So for us from a volume perspective, we will still supply them into their facilities at their demand levels that they have at this point. And we're also starting to see more regional dynamic where there is moves for, let's call it, insuring of new customers or customers coming back in, even with the view of Chinese OEMs moving out and coming back, coming into LATAM or coming into Mexico. Our strength there, as well as our strength with our, let's call it, established partners, is something that is what's really driving that growth of the business. If I look at what we see as new wins for '25. So I hope that's helpful, John.
John Roberts: Yes, thank you. I'll pass it.
Chris Villavarayan: Yes. So I think this is the last question. As we close out here, since I won't be talking to, we won't be talking to a lot of you till the end of the year. Really want to thank all our investors and certainly our employees for three quarters of beats and raises. And we look forward to continuing progressing on our A plan, as I think about 2025 and beyond. Thank you very much. Absolutely excited for the future of this company.
Operator: Thank you. This does conclude the Axalta Coating Systems third quarter 2024 earnings call. You may disconnect your line at this time and have a wonderful day.